Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Alto Ingredients Incorporated First Quarter 2021 Financial Results. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Moriah Shilton. Please go ahead.
Moriah Shilton: Thank you, Elaine. And thank you all for joining us today for the Alto Ingredients’ first quarter 2021 results conference call. On the call today are Mike Kandris, CEO; and Bryon McGregor, CFO. Mike will begin with a review of business highlights, Bryon will provide a summary of the financial and operating results, and then Mike will return to discuss Alto Ingredients’ outlook and open the call for questions. Alto Ingredients issued a press release after the market closed today, providing details of the company’s quarterly results. The company also prepared a presentation for today’s call that is available on the company’s website at altoingredients.com. A telephone replay of today’s call will be available through May 19th, the details of which are included in today’s earnings press release. A webcast replay will also be available at Alto Ingredients’ website. Please note that the information in this call speaks only as of today, May 12th. You are advised that time-sensitive information may no longer be accurate at the time of any replay. Please refer to the company’s Safe Harbor statement on slide two of the presentation available online, which states that some of the comments in this presentation constitute forward-looking statements and considerations that involve a number of risks and uncertainties. The actual future results of Alto Ingredients could differ materially from those statements. Factors that could cause or contribute to such differences include, but are not limited to, events, risks and other factors previously and from time-to-time disclosed in Alto Ingredients’ filings with the SEC. Except as required by applicable law the company assumes no obligation to update any forward-looking statements. In management’s prepared remarks, non-GAAP measures will be referenced. Management uses these non-GAAP measures to monitor the financial performance of operations and believes these measures will assist investors in assessing the company’s performance for the periods being reported. The company defines adjusted EBITDA as unaudited net income or loss attributed to Alto Ingredients before interest expense, provision or benefit for income taxes, asset impairments, loss on extinguishment of debt, purchase accounting adjustments, fair value adjustments, and depreciation and amortization expense. To support the company’s review of non-GAAP information later in this call, reconciling table was included in today’s press release. It is now my pleasure to introduce Mike Kandris, CEO. Mike?
Mike Kandris: Thank you, Moriah. Thank you, everyone, for joining us today. We have a solid first quarter to start the year, as we sold 19 million gallons of specialty alcohol through a combination of contracted volumes, spot sales and exports. It also was our fourth consecutive quarter of gross profit and positive adjusted EBITDA, reflecting the benefits of focusing on our strengths, selling specialty alcohols and essential ingredients. This is a more sustainable and profitable business model that fuel grade ethanol alone. We generated net income of $4.4 million and adjusted EBITDA of $13.6 million. These results represent an approximate $30 million improvement in net income year-over-year, a further testament to the benefit of our transformation efforts. We remain on track for our specialty alcohol contracted sales to contribute a minimum $60 million in gross profit for 2021 and we remain optimistic for adding additional contracted specialty alcohol volumes in 2022 and beyond. Thereby improving utilization over time from our expanded production capacity and enhanced certifications. As we announced on April 28th, we have signed a definitive agreement with Seaboard Energy California to sell our fuel grade ethanol production facility in Madera for a total consideration of $28.3 million. We expect the sale of this 40 million gallon per year facility to close in the second quarter of 2021 and most of the cash proceeds will be used to retire company debt. This will save approximately $700,000 per quarter in interest expense and an additional $400,000 per quarter a negative EBITDA carrying cost for this idle facility. We are on track on our $18 million an announced capital improvement projects in 2021 that are expected to expand revenue and increase efficiencies and plant reliability. One example is a project underway that will increase the annual production capacity of our use facility by approximately 15%. And another example is a project to upgrade the feed dryers at our Pekin facility to produce even higher value feed in addition to improving overall plant efficiency and reliability. These two projects alone are scheduled to be completed and fully operational on or before the end of Q3 and are expected to contribute approximately $5 million annually in EBITDA, a payback in less than two years. Turning to a topic that is top of mind for many of our investors, the role of carbon capture and sequestration can have on the decarbonisation of our environment. As we discussed on our last call, Alto will be an active player in the carbon capture space, as our Pekin campus sits atop the Mount Simon Sandstone formation, considered to be one of the most significant potential carbon storage resources in the United States. We are actively engaged in discussions to develop a carbon capture and sequestration program at the Pekin site, which generates over 600,000 tons of CO2 annually. We look forward to sharing more information over the next few quarters regarding this uniquely profitable opportunity for the company. Finally, worth noting, among many other projects under development, it is our plan to expand protein production at our dry mill facilities, representing 250 million gallons of annual alcohol production. While it is too early to provide specific details, we believe the economics are compelling. We will provide greater details on these projects over the coming months once contractual arrangements are finalized. With that, I’d now like to turn the call over to Bryon for a discussion of our financials. Bryon?
Bryon McGregor: Thank you, Mike. I’ll discuss a few financial highlights and metrics for the first quarter 2021 and provide an update on our expectations on certain metrics for the year. For the first quarter of 2021, net sales were $290 million, compared to $169 million in the fourth quarter, due to increase gallon sold and increase sales price per gallon. This is also attributable to having a full quarter of production at our Pekin and dry mill, with the price per gallon sold up 13% compared to last quarter in line with rising commodity prices. We sold 58 million production gallons in the first quarter, of which 19 million gallons were specialty alcohols, up 3 million gallons sequentially over last quarter’s results. Gross profit was $13.8 million, relatively flat compared to the $13.6 million last quarter. The improvement in sales of specialty alcohol was in part negatively impacted by the seasonally poor fuel grade ethanol crush margin early in the first quarter and the extreme weather conditions adversely impacting natural gas prices. As noted on our prior earnings call, we have seen improvement in fuel ethanol margins as industry inventories have declined and fuel demand has increased, and our dry mills are operating at positive margins. As a reminder, the $60 million in gross profit contribution from the sell of specialty alcohols Mike referred to earlier is based in part on the 70 million gallons that were contracted in the fall of 2020. These gallons were contracted for the entire calendar year of 2021 at fixed volumes and prices. Concurrently, we hedged some major input costs like corn at the then prevailing market prices to preserve the associated margins and minimize the impact of future commodity price volatility. Similarly, as we negotiate new fixed price contracts, the terms will reflect concurrent market conditions and commodity prices that we will hedge at the time of sign. SG&A expenses in the quarter was $7 million, generally in line with last quarter, but slightly inflated due to normal seasonally high expenses, where we remain on track with our guidance of $20 million to $25 million for the full year of 2021. Our initial, excuse me, our interest expense for the first quarter was $1.9 million, 50% lower than the $3.8 million we paid in the fourth quarter of 2020. And a 64% reduction from the same quarter last year as we continue to pay down high interest rate debt. In the first quarter we repaid $5.5 million in principle on our senior notes and $3 million on our CoBank credit facilities. In the past 12 months, we have paid off $120 million of high interest debt, successfully removing 72% of the total debt we have entered -- we had entering that time period. We are on track to be net debt free in 2021. Income available to common shareholders was $4.4 million or $0.06 per diluted share, compared to a loss of $20.5 million or $0.30 per share in the fourth quarter. The fourth and first quarters include the impairment charges of $24.4 million and $1.2 million, respectively, associated with our Western assets and their transition to assets held for sale on the balance sheet. Turning to our balance sheet. On March 31, 2021, our cash and cash equivalents were $44.1 million, compared to $47.7 million December 31, 2020. After quarter end, we announced the pending sale of our Madera plant for a total consideration of $28.3 million, comprised of $19.5 million in cash and $8.8 million in assumption of liabilities. Upon closing the sale, we anticipate reducing our debt outstanding by approximately $18.5 million, bringing our remaining term and plan debt loan balances to under $30 million. Proceeds from future asset sales will be used to further retire debt, bolster liquidity and fund needed capital projects. In summary, we are building a balance sheet to support not only current liquidity needs through various commodity cycles, but also to address future capital improvement and growth opportunity funding needs. Mike, back to you.
Mike Kandris: Thank you, Bryon. Over the past 12 months we have improved operations, optimized our production footprint and reduced controllable expenses and our overall cost of capital, thus building a strong platform for the future. This platform provides us the ability to aggressively pursue opportunities organically to reinvest in quality proven high value projects, as well as pursue accretive strategic M&A opportunities. We are grateful to all our employees for the efforts they have undertaken to put us in a position of strength as we look to the future. With this, Operator, I’d like to open the lines for questions.
Operator: [Operator Instructions] And your first question comes from Eric Stine from Craig-Hallum.
Aaron Spychalla: Good afternoon. It’s Aaron Spychalla on for Eric. Thanks for taking the questions.
Mike Kandris: Hi, Aaron.
Bryon McGregor: Hi, Aaron.
Aaron Spychalla: Hello. Maybe first and you said you’re on track contracting the remaining 50% of the specialty alcohol, but can you just give a little more detail on kind of the progress there and if you’re seeing any pricing pressures and then maybe also talk a little bit about the two recent certifications and whether that kind of spot or contract and just the outlook for international sales as well?
Bryon McGregor: Sure, Aaron. It’s Bryon. I’ll take the first part and let Mike handle the second part. We remain on track in selling that -- those gallons, but it’s important to note as well that, we view this as a long play, right? While we would love to and we certainly are working diligently to be able to sell all 140 million gallons, particularly the 2020 contract, for that -- those gallons in 2022 and beyond. It would be, I think, an aggressive assumption on most people part to assume that we could play -- place all of that product immediately. But that we expect with the certifications that Mike will speak more about to be able to do so effectively over the coming years, particularly as you look at just the onboarding and the diligent processes that our customers go through in order to be able to find the product. With regards to certifications, Mike, do you want to?
Mike Kandris: Yeah. So, as you mentioned, Aaron, we have announced that we have gained additional certifications. I think the key here is that, during the process of this kind of goes back to what the first part of your question was, how do you get yourself in a position to be in -- be set up going into 2022 and beyond. And one of the things that we saw early on was getting the certifications, getting qualified with customers and starting the conversations with customers early is incredibly important. And we’re working very hard at that as we go through the year, even though the contracting cycle typically is in Q4, there’s a lot of work that gets done ahead of time. We’ve been very fortunate and a lot of our very good customers have worked with us and have guided us through what is important for them and what we need to do to increase our business with them. So, again, it’s a process. As Bryon said, certifications are extremely important and not only domestically but internationally and that’s where our focus is right now.
Aaron Spychalla: Understood. Thanks for the color. Second, on corn and kind of just basis there, given recent developments. I know you talked a little bit about the hedging on the alcohol portion, but just on the fuel grade. Could you just talk a little bit about that kind of what you’re seeing maybe kind of 2Q near-term thoughts on just corn and any hedges and just basis as well?
Mike Kandris: Sure. So I think it’s important to remember that while, there are opportunities at times to be able to lock in spreads even on the fuel business and we will take advantage of those opportunities as they present themselves. But generally speaking, what we have found historically is that, where you’re pricing your product on an index basis that is highly speculative and usually not at your most profitable place to be locking in your spreads on our product, because of the inverted nature of ethanol prices and the carry that’s in corn. This year it’s kind of backwards, right? We’ve or you’ve got an inversion in both corn and ethanol. So there are times, when there is an opportunity to be able to lock in one month or two months out.
Aaron Spychalla: Right.
Mike Kandris: And that’s all positive. But I would generally say that, it is our intent for the product that we sell on index to be in the nearby. And so you’re not pricing corn until you effectively are grinding it and selling it.
Aaron Spychalla: Okay. And then maybe last one carbon capture, we’ll stay tuned for details on Pekin. But just curious your thoughts on kind of Stockton and the developments in that market as well. Is -- any color you can provide there on potential carbon capture would be helpful?
Mike Kandris: Yeah. Well, we have publicly announced that we’re pursuing a potential sale of the Stockton facility, and again, you have to pick your spots. And that that is our goal right now is to sell that facility and take the resources to further pay down debt and use those proceeds to pursue other opportunities. Pekin is such a fantastic carbon capture story and we’re getting a lot of interest there. And we’re just trying to sort through what is the best opportunity for us going forward? And again, like we mentioned, we’ll definitely keep everybody up to speed as we go through that process. But right now our focus primarily on carbon capture is at Pekin, and again, we are pursuing a sale of the Stockton facility.
Aaron Spychalla: All right. Thanks for taking the questions.
Bryon McGregor: Thanks, Aaron.
Operator: And you have a question from Amit Dayal from H. C. Wainwright.
Amit Dayal: Thank you. Good afternoon, guys.
Bryon McGregor: Hi, Amit.
Amit Dayal: So the carbon capture opportunity, is there any specific technology that we need to sort of develop, just trying to get a sense of like, what will go into executing against building out this business segment?
Bryon McGregor: I don’t know, Amit, that there’s any specific newfangled technology that needs to be used. I mean, this is a technology that’s used for years and years in enhanced oil recovery and alike. I think that, but what it does requires is clearly a significant capital requirement to be able to not only begin with test wells and develop your -- the resource, make sure that you’ve got it a secure resource, but then largely pumps and compression and then and maybe pipelines in any extent that it makes sense as a gathering system to be able to gather that product before you inject. So it while it has a significant capital requirement associated with it and it requires --it’s not a six month project, it’s a multiyear project. That being said, the economics are equally compelling.
Amit Dayal: Okay. All right. I want to take one of the questions on this offline. And then just going to the gross margin or gross profit comments, Mike, made, the $60 million number, is that specifically attributed to the specialty alcohol line of business in gross profit?
Mike Kandris: Yes. It is. Yes. It is. Yeah. That is specifically addressing contractual $70 million that we talked about initially.
Amit Dayal: Understood. Thank you for that. And with respect to sort of utilization levels, Bryon, could you maybe share what utilization levels were in 1Q and what you expect potential utilization levels to be in the remainder of the year?
Bryon McGregor: So, Amit, just to clarify your question, are you looking for overall utilization across the entire portfolio? Are you looking specifically towards specialty alcohols?
Amit Dayal: You should break it out, Bryon that would actually be very helpful. If you should have that, if not, the overall number will help as well?
Bryon McGregor: I think that -- it’s the numbers that we’ve shown in our reported numbers are pretty consistent, are probably a good target for you, as you model out the remainder of the year. With regards to specialty alcohols, not to be tried, but if you do the math, you’re looking at -- based on our contracted volumes, you’re looking at 50% and so we want -- we definitely expect to be above 50%. I think, as I mentioned earlier, to be at 100% of utilization of our specialty alcohols would be certainly a goal but as well an aggressive assumption. So I think that you -- as you think about it, and as we think about it, probably, a more appropriate assumption we need to think about that is growing over time. More this year, but then, again, adding more of that or utilizing more of that capacity, as you contract out more volumes over the coming years, next, one year to two years, three years.
Amit Dayal: Understood. Did you already have some international sales for the specialty alcohol products in 1Q?
Bryon McGregor: Yes.
Amit Dayal: Okay. Got it. Thank you. Yeah. I will take my other questions offline. Thank you so much.
Bryon McGregor: Thanks, Amit.
Mike Kandris: Thank you.
Operator: [Operator Instructions] And you have a question from Sean Trauschke [ph] from Guggenheim Partners.
Constantine Lednev: Hi. Good afternoon. It’s actually Constantine Lednev here for Sean. I have couple of questions to follow-up for kind of an abundance of information. On kind of the realized margins and product sales, can you talk about the structure of the contracts nominated sales and how -- specifically how price elastic are the specialty alcohols and ingredients kind of in light of corn prices escalating and what kind of cost protection that you may have kind of both near-term and longer term as ethanol prices have been stepping up?
Bryon McGregor: Hi, Constantine. So it’s Bryon. I -- maybe the best way to answer that is both in the short and so thinking about 2021 and then thinking about 2022 and beyond. Clearly in the short run and within the next -- within this calendar year, they’re really quite inelastic, right? They -- they’re -- we got fixed volumes, fixed prices, you may expect to see some, depending on customers and their demand adjustments, sometime around the fourth quarter, maybe renegotiating into the new year and adding additional capacity or making adjustments there too. But generally speaking, I think, we hedged our input costs associated with that. So we’re feeling about -- feeling good about those margins and that’s why we provided the framework that we did around the 70 million gallons and the $60 million in gross margin. As you think about 2022, I think it would be naive to assume that the additional capacity that not only that we brought on, right, where we went from 110 million gallons to 140 million gallons by entering this year, but in addition, other producers in this marketplace, who have also announced production capacity expansion to not have some kind of an impact potentially on prices. That being said, we believe and are optimistic that there will always be a positive or a premium in that -- in the product that the specialty alcohol markets in comparison to your next best alternative, which would be fuel? If not, why would you not then just produce, reduce your operating costs and sell fuel ethanol instead. And I think that the probably the more important part of the business is to really focus on that Mike mentioned and he emphasized is around, again, the onboarding and the quality control. The -- if you will kind of what would be barriers to entry both -- that were both ways for us, right? They both protect us, but they also require us to work significantly to make sure that we can place our product and do so effectively and be able to then hopefully retain those customers for a very long period of time and that’s generally been the behavior that we’ve seen. Mike, anything you want to add to that.
Mike Kandris: No. Thank you. You got it, Bryon.
Constantine Lednev: Thanks for the color. That’s really helpful. And just a bit of a follow up on kind of economics and the market, do you kind of the recent kind of price moves and changes in the margin change any of the economics on kind of the planned investments $18 million that you talked about, the any kind of color on the payback kind of timeframes and just thoughts on kind of capital allocation at this juncture?
Mike Kandris: Yeah. With the $18 million, we’re being very specific in terms of where we are investing our capital dollars. We have a lot of infrastructure that we are continuing to upgrade to improve reliability. There are kind of two buckets you put it in further growth opportunities and reliability and improvement and your efficiencies and reliability within your existing plant structure. So, we carefully look at those and analyze them, there were certain things that within that $18 million that we had to focus on for instance at our ICP plant. It was important to upgrade the cooling tower, which was part of that $18 million capital expenditure and that we have planned for 2021. So there’s a variety of things that go into that, no one single answer, I think above and beyond that, as I mentioned in the remarks, we now have a plat -- we have a solid platform. And we’ve worked really hard over the last 12 months to kind of put ourselves in a position working on the debt, working on a variety of issues, to put ourselves in a position to where we can aggressively pursue some other activities above and beyond the $18 million and we’re looking at those also.
Constantine Lednev: And just kind of in regard to the opportunities and you obviously talked about kind of carbon capture opportunities at Pekin, how are you thinking about the capacity for these future investments and kind of maybe a range of capital requirements and are you thinking about this from a standalone perspective or kind of a joint venture agreement of some sort?
Bryon McGregor: It’s a really great question. I think probably the best way to answer that is, is we’re considering all of those options and the real goal is to be able to as being the other private producer of the C or the -- of the carbon and the CO2, that we intend to try and capture as much value as we can and retain it for the benefit of the company and the shareholders, right? And so we’ll certainly intend to and we’ll continue to the process where we keep these competitive and try and optimize value with regards to this resource. So…
Constantine Lednev: Perfect.
Bryon McGregor: So I don’t mean to answer the question, it just we consider both, but yeah, I mean, we’re considering all options and we’ll make sure that we bring to bear that which makes most sense for us and for -- while mitigating risk appropriately…
Constantine Lednev: Okay.
Bryon McGregor: … effectively assigning risks with the people who can best handle that risk.
Constantine Lednev: That gives some very good color and thank you for the disclosures.
Operator: There are no further questions at this time. I’ll turn the call back over to Mike Kandris for any closing remarks.
Mike Kandris: Thank you for joining us today and for your ongoing support. As you can tell, we are excited about the progress we have made and the bright future we have ahead. We look forward to continuing our dialogue with you as we make further progress. Thank you and I hope everyone has a good afternoon. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for participating. You may now disconnect your line.